Operator: Greetings, and welcome to the Loar Holdings First Quarter 2025 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce Ian McKillop, Director of Investor Relations. Please go ahead.
Ian McKillop: Thank you, Paul. Good morning and welcome to the Loar Holdings Q1 2025 earnings conference call. Presenting on the call this morning are Loar's Chief Executive Officer and Executive Co-Chairman, Dirkson Charles; Executive Co-Chairman, Brett Milgrim; Treasurer and Chief Financial Officer, Glenn D'Alessandro; as well as myself Ian McKillop, the Director of Investor Relations. Please visit our website at loargroup.com to obtain a slide deck and call replay information. Before we begin, we'd like to remind you that statements made during this call, which are not historical in fact are forward-looking statements. For further information about important factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements, please refer to the company's latest filings with the SEC available through the Investor Relations section of our website or at sec.gov. We'd also like to advise you that during the course of the call, we will be referring to adjusted EBITDA, adjusted EBITDA margin and adjusted earnings per share, each of which is a non-GAAP financial measure. Please see the tables and related footnotes in the earnings release for a presentation of the most directly comparable GAAP measures and applicable reconciliations. To begin today, I will now turn the call over to Dirkson.
Dirkson Charles: Thanks, Ian. Good morning. Six weeks ago, I mentioned that every day as a public company has been a school day at least for us. So I would be remiss by not starting today's conversation without telling you one thing, I learned after our last call. What I learned is that we are boring. Yes, we at Loar are boring. Now I have personally been called all kinds of names but this one is new. Imagine one of our favorite investors call is boring. Can you believe that? Here's what he said. You beat, you increase your guidance, you announced your largest acquisition, you improved your margins, and you just continue to do what you say each time. So, look, listen to that individual and he knows who he is I guarantee that on this call, we're going to continue to be boring. With that said let's be boring. Here goes. I'm Dirkson, Founder, CEO and Co-Chairman of Loar. As always, we'll keep our remarks brief so let's start by reminding you who we are. Loar is a family of companies with a very simple approach to creating shareholder value. First, we believe that by providing our business units with an entrepreneurial and collaborative environment to advance their brands, we will generate above-market growth rates. Since our inception in 2012 through the end of calendar year 2024, we have grown sales and adjusted EBITDA at a compound annual growth rate of 37% and 45%, respectively. Over the long-term, we expect to increase sales organically at double-digit percentages with the last three years, 2022, 2023 and 2024, achieving organic sales growth of 18%, 14% and 15%, respectively with of course adjusted EBITDA growing at an even faster rate. We expect that to continue. We execute along four value streams. We identified pain points within the aerospace industry and look to solve those problems through organically launching new products, which we believe over the long-term will create one to three percentage points of top-line growth annually. We focus on optimizing the way we manufacture go-to-market and manage our companies to enhance productivity. Each year we'll identify initiatives that will allow us to continually improve margins with a focus on one or two major initiatives each year that will improve our margins. In addition across our portfolio of companies, we'll achieve more price than our cost of inflation each year. The result is a continuous improvement in margins year-over-year with on occasion a temporary dilution as a result of acquiring a business with diluted margins or incurring costs as a result of being a public company. All of which, we have experienced over the last five years but regardless of these temporary headwinds we continue to improve our margins. As seen on slide 5, during Q1 of 2025, we improved margins by 160 basis points in line with our guide for the year. More importantly, we are committed to developing and improving the talent of all of our employees because our success is solely a result of their dedication and commitment. So to all my mates as always a big thank you for your commitment and hard work. I'll now turn the call over to Brett to walk you through the key characteristics of our portfolio. Brett, be boring.
Brett Milgrim: Thanks, Dirkson. I am going to be boring. This slide is one that I think most of you have seen before. And as Dirkson alluded to and Glenn is going to get into later, we continue to generate really outstanding financial performance because of our very disciplined approach to our business model. Our business model starts with the proprietary nature of our product. And all the barriers to entry aftermarket exposure cross-selling opportunities and niche markets that we engage in. We do that though across a very balanced portfolio in end markets, products, customers, applications on the aircraft, such that we can withstand any type of market environment and continue to generate those financial -- types of financial returns that I think people have come to expect. With that, I'll let Ian talk to you a little bit about our products.
Ian McKillop: Yes. Thank you, Brett. As we've shared with you in previous calls, this slide highlights the diversity of our proprietary product offering. At Loar, we go-to-market with an average of more than 20,000 unique products of which no one product makes up more than 3% of our annual net revenue. Our customers have come to depend on our highly proprietary products, quality, on-time performance and engineering capabilities to ensure they are able to maximize their production and aircraft operations. One of our strategic value drivers at Loar is launching new products. Each year, the execution of this value driver, delivers 1% to 3% of our organic top line growth. One product we are particularly excited about is the secondary cockpit barrier. The secondary barrier is the combination of partnership with our customer Airbus and the extensive design and engineering capabilities across Loar to meet requirements for improved safety set forth by the Federal Aviation Administration. Our mates have worked tirelessly to bring a design from a clean sheet of paper to work in concept and ultimately to production in approximately 12 months. Production units have already shipped to date and entry into service is scheduled for later this year. The secondary barrier will be found on all new production Airbus, aircraft and will be available to our airline partners across the globe for retrofit. We could not have done this without the hard work of our teammates and their dedication to collaboration and meeting our customers' unique needs. Thank you to all at Loar who have made this a success. I'll now pass the call over to Glenn to walk through the end market and financial results.
Glenn D'Alessandro: Thank you, Ian. Good morning everyone. Let me start by discussing sales by our end markets. This comparison will be on a pro forma basis as if each of our businesses were owned as of the first day of the earliest period presented. This market discussion includes the acquisition of Applied Avionics in Q3 '24. We achieved record sales during Q1 '25, in total, our sales increased to $150 million, which is a 12% increase as compared to the prior year period. This increase was driven by strong performances in defense, commercial aftermarket and commercial OEM. Our commercial aftermarket sales saw an increase of 13% in Q1 '25 versus Q1 '24 and was up 15% sequentially from Q4 '24. This is primarily driven by the continued strength in demand for commercial air travel. We continue to see record bookings and backlog across all our market sectors. Our total commercial OEM sales increased by 8% in Q1 '25 as compared to the prior year period. This increase was driven primarily by higher sales across a significant portion of the platforms we supply. The increase of 30% in our defense sales was primarily due to strong demand across multiple platforms and an increase in market share as a result of new product launches. Defense sales will continue to be lumpy given the nature of the ordering patterns of our end customers for our products. Let me recap our financial highlights for the first quarter of '25. Our net organic sales increased 11.1% over the prior period. Our gross profit margin for Q1 '25 increased by 370 basis points as compared to the prior year period. This increase was primarily due to the execution of our strategic value drivers, as well as operating leverage. Our increase in net income of $13 million in Q1 '25 is primarily due to higher operating income and lower interest, partially offset by higher income taxes. Adjusted EBITDA was up $10 million in Q1 '25 versus Q1 '24. Adjusted EBIT margins were strong at 37.6% due to the execution of our strategic value drivers and operating leverage. This was partially offset by a higher mix of defense sales and the continued build-out of our infrastructure to support our reporting, governance and control needs as a newly public company. Let me turn the call back over to Dirkson to share our outlook for 2025.
Dirkson Charles: Look, we are excited to share our most recent view for calendar 2025. This view as you all can see is in excess of what we told you six weeks ago and that one was in excess of what we told you six weeks prior. Our confidence rests in the great strides that we have made executing on our value drivers in the first quarter of 2025 and the strength of our proprietary portfolio. Primarily, we are ahead of our plan on our value pricing and productivity initiatives. In addition, we've seen no degradation at all in demand across any of our end market -- end markets. And as Glenn said earlier, we've actually had record bookings across all of the end markets today. So when you combine that with the fact that we expect, no meaningful impact to our results as a result of the current tariff environment, we feel really good as always about the guidance we're giving you. So therefore, for calendar year 2025, we expect on a pro forma basis assuming we owned all of our business units since the beginning of 2024 that our end markets will be up as follows: Commercial OEM will be up high single-digits versus 2024; commercial aftermarket will be up double-digits, up from our previous guide of high single-digit growth given the strength that we've seen early in the year in bookings and in what we've delivered. While our defense end markets will be up high double digits, and again, think between 17% and 20% we're off to a great start in the first quarter being up 30%. These market assumptions along with our continued execution of our value drivers will allow us to meet or exceed the following for calendar year 2025. Net sales between $482 million and $490 million, up from $480 million to $488 million. Adjusted EBITDA between $182 million and $185 million, up from $180 million to $184 million. With adjusted EBITDA margin of approximately 37.5%, which is a 120 basis point improvement over 2024. Net income between $59 million and $64 million, while EPS will be somewhere between $0.71 and $0.76 a share. In addition, we expect capital expenditures of approximately $14 million, interest expense for the year of -- approximately $28 million with an effective tax rate of approximately 30%. Depreciation and amortization of approximately $51 million, noncash-based stock comp of approximately $50 million with a fully diluted share count of approximately 97 million shares. With that said, our updated guidance does not include any benefit from our most recently announced pending addition to our family of companies LMB Fans and Motors. As stated, we expect to close the acquisition of LMB in the third quarter of calendar year 2025. And to be clear, to say one more time our guide includes any impact we see today related to the current tariff environment which is insignificant. With that, Paul let's open the line for questions. Operator?
Operator: We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Ken Herbert with RBC Capital Markets.
Ken Herbert: Yes. Hi, good morning.
Dirkson Charles: Hey, good morning, Ken.
Glenn D'Alessandro: Good morning.
Ken Herbert: Hey, Dirkson, you raised the guide for the commercial aftermarket, and I appreciate your comments that you're not seeing anything today in terms of airline behavior that could change relative to the strength we've seen. But I just wanted to follow-up on two areas, are you seeing any incremental pushback on pricing from airlines in your commercial aftermarket channel or any incremental concern about inventory levels that could be with the airlines that could potentially be a risk down the road?
Dirkson Charles: So the first part of your question, not seeing any pushback on price. And I'll add a little. We're actually probably getting more price this year than we did last year, but no pushback there. With regards to inventory there's – there's a lot of stories we can tell there, right? In some areas there are parts where there is inventory in the system, where we see lighter demand. And then there's parts where there's not enough inventory, where we're trying to actually keep up with the pace of demand. But when I net all of those together, the demand we're seeing right now is actually stronger than it was I would say even this time last year. So really good demand. I mean to what I said when we're seeing no degradation. In fact it's really, really strong in terms of the demand.
Ken Herbert: That's helpful. And if I could just a follow-up then. I'm guessing it'd be fair to say that you didn't see any pre-buying activity ahead of potential tariff impact into – maybe into China or other parts of the world?
Dirkson Charles: No, actually did not. I'll tell you we're – so I'll say it this way, tariffs has just been noisy for us, right? As you know we have a proprietary portfolio. So we can pass along any cost that we incur. And our thought process around that especially in the early stages here because this is still a moving target is that, as we incur costs related to tariffs, we pass along just that cost. So no margin on top of that. We're not trying to be that guy, right? Now if we wake up a year from now and I'll make up a number I keep hearing a lot, 10% being the minimum, we'll view that as costs as we do everything else, consider inflation and price to get margin on top of that. So no one pushing and pulling within the orders for our parts, where I've seen it is in – some of our vendors actually taking advantage of the – what I would call the media stories. So I'll give you an example. Early February, we were already getting vendors telling us "Oh we got to increase our price 25% because tariffs are up 25%" Of course, as we all know that was not true at that time it was just conversation. Nothing went into the effect out of that day. So what we have been doing and this goes back to why it's been noisy for us is anyone who has said to us that they have a cost increase because of tariffs they have to prove it to us. They actually have to show us that they actually made those payments before we will even expect – accept having a conversation around that. So Ken, it's been more noisy than anything else and hasn't been a real impact to us.
Ken Herbert: Thanks, Dirkson. I’ll pass it back there.
Operator: Thank you. Our next question is from Sheila Kahyaoglu with Jefferies.
Sheila Kahyaoglu: Good morning, guys. And thank you for the time.
Dirkson Charles: Good morning.
Sheila Kahyaoglu: Maybe just on the end market but I'll continue on with Ken's line of questioning. If we could talk about defense. It's not a business you talk about as often as commercial aftermarket but the growth was very robust at 33% organically and you're implying a slowdown to high teens in the year. How do we think about what drove that growth? How we think about it? Is it just lumpy? And what's driving the decal, as we head into the next three quarters?
Dirkson Charles: So Sheila, I apologize. Can you ask the question, again? You broke up. We having a little trouble with the audio.
Sheila Kahyaoglu: I'm so sorry, it's probably my fault. Can you hear me better now?
Dirkson Charles: Yes.
Sheila Kahyaoglu: Okay. On defense, organic growth was up 33% in the quarter just very robust. What's driving the decel throughout the year? Is it just lumpiness? Any programs you'd call out? If you could talk about your defense end market.
Ian McKillop: Yes. Sheila, this is Ian. I would say it is defense as we always look at is very lumpy. We had a great Q1 at up 30%. And we are guiding in a conservative way throughout the balance of the year. We do see a lot of programs come and go within the quarter. So – what I would say is for now, it's more about just trying to make sure we have a level playing field for the year and we'll continue to watch it and see if we need to adjust guidance appropriately.
Sheila Kahyaoglu: Got it. Thank you. And then maybe just on the commercial OE business. I think the large Boeing and Airbus was down slightly. Can you talk to us what you're seeing on rates and how you're -- how you're aligning your facilities for production for the remainder of the year?
Dirkson Charles: Yes. So we're still holding the way we think about ending the year if I can start there and I can tell you what we've been seeing. With the MAX in the 20s. I think we have about 24 a month is how we're thinking about the year in our guide. Now Boeing is doing significantly better than that. So we should do better again going just telling you how we built our guide. So I'll stay with Boeing for a second. First quarter orders higher than we were thinking. Probably around 28 on the average across the group is what I say it varies depending on the part per month in terms of MAX. And in terms of Airbus we have leaving the year in our guide in the 30s, 35 36-ish something along those lines. Ian is double checking me. And for the quarter it's been pretty consistent around those levels. We haven't seen the same choppiness we see on Boeing OEM parts that we do on Airbus. So -- it's actually off to a stronger start for the year than we originally thinking. If you remember we had close to zero if not zero in terms of our thinking about in the first quarter for the MAX. So much better than we were thinking.
Sheila Kahyaoglu: Got it. Thank you so much, Dirkson. Appreciate it.
Operator: Our next question is from Kristine Liwag with Morgan Stanley.
Kristine Liwag: Hi. Good morning, everyone. And Dirkson having a boring business in this volatile market you must feel like a King. So a good problem to have. With that said with the supply chain going well, the demand environment being strong. What are you spending the majority of your time doing today? What's your key priority? And how do you measure success?
Dirkson Charles: Wow. So I'm going to start answering -- because I have a lot. But I'm going to start answering the questions so I can get Brett to chime in here. But one of the things that we're spending a lot of time on is the pipeline of opportunities that we see. It's been actually taken us in many different directions here. It's probably stronger than we've seen it in a...
Brett Milgrim: Long time. We've been probably as busy as we've ever been quite candidly on the M&A stuff across all different sectors. And honestly with all the macroeconomic noise and volatility out there, one may have thought that M&A activity would have slowed down. In fact I think it's going the opposite way. I think it's accelerated. We are in any number of discussions with a handful of potential sellers. And it sure seems like the rest of the year is going to be very, very busy. So at least on the inorganic front that's been taking up a lot of our time. But the good news is a lot of great opportunity.
Dirkson Charles: And organically focus has been on really on talent. We're seeing a lot of growth with the inorganic opportunities that we're seeing. We want to make sure that we have the right team in place to support that growth. So there's been a huge focus around that. So I've spent a lot of time there. Those are probably the top two things other than the day-to-day blocking and tackling.
Brett Milgrim: Talent is always for us particularly in an environment where we see a lot of growth ahead of us. And as you've seen in our numbers and our guide, we're raising for the year because we think the year has got the right trajectory upward.
Kristine Liwag: Yes, that makes sense. Thank you. And I'm following up on the pipeline, I guess, I'm surprised by the commentary that you're seeing more activity now. Can you provide more color on what's driving that? I mean especially with the end market so strong; I would have thought that people would want to hold on to their assets. So what's driving that incremental pipeline? And then also with this opportunity set sounding fairly rich are you willing to lever up above your leverage target?
Brett Milgrim: Well I'll answer your last question first. The good news is given where our balance sheet is I don't think we're going to need to. So that's number one. Number two, look every seller is a little different and their motivation is a little different. But typically what we see is an environment where earnings are good and visibility is good. Oftentimes, that leads to more willing sellers. And so we are seeing not just in defense, not just in commercial, not just aftermarket, not just OE, but kind of across the board, dialogues with sellers that are very constructive. Now you can never predict exactly when and if you'll get to the finish line on all of them. But like I said before, I can say that, the activity level the dialogue we're having and the opportunity set is about as good as we've seen it in quite a long time. And part of that may be part and parcel with us now being a public company where we have had comments oftentimes of people saying, we didn't even know who you were before last year. And so maybe that's an explanation for some folks who are reaching out to us proactively as opposed to the other way around. But either way, it's an active environment for us.
Kristine Liwag: Great. Thank you.
Operator: Our next question is from Bradley Eyster with Citi.
Bradley Eyster: Great. Thank you. Good morning. Just a quick question on the defense side of the business. So, the new administration looks like they're going to engage in some procurement reform, including a potential rewrite of federal acquisition regulation and the consolidation of much more purchasing power at the GSA. Can you just talk a little bit on what you like about the existing procurement system and what you like to see change? And then can you also discuss how this change might impact your business? Thanks.
Dirkson Charles: Yeah. I mean, I think when it comes to any potential changes in regulation or how the government business, we'll wait until those rules are finalized and we'll assess them appropriately. Today, we have a great system in place where our teams work well with either the Tier 1 supply in the US government or directly with the US government. So I withhold my judgment on any changes until we know what those are. But I think we have figured out the best way to be efficient, and that's really what our teams are always challenged to do depending on the environment.
Brett Milgrim: Yeah. And look, the good news for us procurement methods aside, we're sticking with the model that we've had success with, which is the proprietary products that I'll say it this way, are important to our customers and are critical to aircraft flying and equipment moving from A to B. And I think, as long as we stick with that model, we're going to continue to find success, not only in the US defense market, but as per our most recent acquisition, even in Europe and elsewhere in the world.
Bradley Eyster: I appreciate the color. Thanks. That's very helpful. Thank you.
Dirkson Charles: Thanks.
Operator: Thank you. There are no further questions at this time. I would like to hand the call back over to management for any closing remarks.
Dirkson Charles: Yeah. So look, a big thank you to everyone that has taken the time to hear our story again today. Believe me when I say, we continue to be extremely excited about building our aerospace and defense cash compound that we call Loar. And again, looking forward to speaking to you all in 13 weeks. It will feel like a long time since we've been speaking to you guys every 6 weeks here recently. So look thank you. Thank you. Thank you for taking the time for hearing our story.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.